Operator: Good day and thank you for standing by. Welcome to the third quarter ended January 31, 2023 Casey’s General Stores earnings conference call.  At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during the session, you will need to press star-one-one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star-one-one again.  Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Brian Johnson, Senior Vice President of Investor Relations and Business Development. Please go ahead. 
Brian Johnson: Good morning and thank you for joining us to discuss the results from our third quarter ended January 31, 2023. I am Brian Johnson, Senior Vice President, Investor Relations and Business Development. With me today are Darren Rebelez, President and Chief Executive Officer, and Steve Bramlage, Chief Financial Officer. Before we begin, I will remind you that certain statements made by us during this investor call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include any statements relating to expectations for future periods, possible or assumed future results of operations, financial conditions, liquidity and related sources or needs, the company’s supply chain, business and integration strategies, plans and synergies, growth opportunities, and performance at our stores.  There are a number of known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from any future results expressed or implied by those forward-looking statements, including but not limited to the integration of the recent acquisitions, our ability to execute on our strategic plan or to realize benefits from the strategic plan, the impact and duration of the conflict in Ukraine and related governmental actions, as well as other risks, uncertainties and factors which are described in our most recent annual report on Form 10-K and quarterly reports on Form 10-Q, as filed with the SEC and available on our website.  Any forward-looking statements made during this call reflect our current views as of today with respect to future events, and Casey’s disclaims any intention or obligation to update or revise forward-looking statements whether as a result of new information, future events or otherwise.  A reconciliation of non-GAAP to GAAP financial measures referenced in this call, as well as a detailed breakdown of the operating expense increase for the third quarter can be found on our website at www.caseys.com under the Investor Relations link.  With that said, I’d now like to turn the call over to Darren to discuss our third quarter results. Darren?
Darren Rebelez: Thanks Brian and good morning everyone. We’ll get to the strong third quarter results in a moment, but first I want to thank our team for their dedication during a great quarter. They continue to show their resilience in a challenging operating environment.  Our team is also here for good in the communities we serve, like Dawson Springs, Kentucky as the community continues to recover from last year’s devastating tornadoes and storms. Joining forces with Gatorade, we provided $100,000 towards the rebuilding of the local youth sports field in town. We’re looking forward to seeing the kids playing on that next year. Thank you to our team and guests who help make our communities better and support these local initiatives that make Casey’s here for good. Now let’s discuss the results from the quarter.  As you’ve seen in the press release, we had an excellent third quarter, further building on a strong first half of the fiscal year. Diluted earnings per share finished at $2.67 per share, a 56% increase from the prior year. As we communicated previously, diluted EPS benefited by $0.31 per share due to a one-time operating expense reduction of approximately $15 million from the resolution of a legal matter. Excluding this adjustment, diluted earnings per share was still up an impressive 38%. Inside sales remain strong, driving inside gross profit up over 11% to $451 million. The company generated $100 million of net income, an increase of 56%, and $220 million in EBITDA, an increase of 28% from the prior year. We know our differentiated business model can succeed in a variety of economic conditions. We continue to effectively implement our strategic plan across grocery and general merchandise, prepared food and dispensed beverage, and fuel with excellent execution and outcomes from store operations.  I’d now like to go over our results and share some of the details in each of the categories. Inside same store sales were up 5.6% for the third quarter, or 13.6% on a two-year stacked basis with an average margin of 40.6%. Our team did a wonderful job managing the product mix and in-stock levels, as well as implementing the joint business plans we developed with our vendor partners. We saw notably strong performance in pizza slices and bakery as well as alcoholic and non-alcoholic beverages.  Same store grocery and general merchandise sales were up 5.8% or 13.9% on a two-year stacked basis with an average margin of 34%, an increase of approximately 200 basis points from the prior year. The third quarter showed positive momentum in alcoholic beverage sales as we continue to see great results by leveraging our approximately 1,500 stores with liquor licenses. We also saw strong performances in non-alcoholic beverage and private label sales. Margin was favorably impacted by a product mix shift towards higher margin items like energy drinks and candy, as well as further penetration from private level.  Same store prepared food and dispensed beverage sales were up 5% or 12.8% on a two-year stacked basis with an average margin of 57.3% versus 58% a year ago. Sales were up due to strong performance in pizza slices as well as bakery, and we continue to have better product availability throughout the category. The third quarter had sequential improvement in margin versus the first and second quarters, but cheese costs continue to pressure profit margins. For fuel, same store gallons sold decreased 0.5% with a fuel margin of $0.407 per gallon. While we did see gallons go back slightly, we should note that in yet another volatile quarter for fuel, we compared favorably to the relevant OPIS geographic data and we believe we continue to take share while balancing volume and margin to drive gross profit dollars. I’d now like to turn the call over to Steve to discuss the financial results from the third quarter. Steve?
Steve Bramlage: Thank you Darren and good morning. I’d like to start with crediting our fuel, merchandise and store teams for their continued ability to execute on the plan and drive strong performance across all facets of the business. Each of the three areas of the business performed well in the quarter and our model has proved to be resilient in this challenging environment. Total revenue for the quarter was $3.3 billion, an increase of $284 million or 9% from the prior year. Total inside sales for the quarter were $1.1 billion, an increase of $84 million or 8% from the prior year. For the quarter, grocery and general merchandise sales increased by $63 million to $796 million, an increase of 8.6%. Prepared food and dispensed beverage sales rose by $21 million to $314 million, an increase of 7%. Results were favorably impacted by operating approximately 2% more stores on a year-over-year basis. Retail fuel sales were up $206 million in the second quarter to a 3.7% increase in gallons sold to 645 million, as well as a 6% increase in the average retail price per gallon. That average retail price for fuel during this period for us was $3.34 a gallon compared to $3.14 a year ago.  We define gross profit as revenue less cost of goods sold but excluding depreciation and amortization. Casey’s had gross profit of $737 million in the third quarter, an increase of $73 million or 11% from the prior year. This was driven by higher inside gross profit of $46.7 million or 11.6%, as well as an increase of $24.7 million or 10.4% in fuel gross profit. Inside gross profit margin was 40.6%, a 120 basis point increase from a year ago. The grocery and general merchandise margin was 34%, an increase of 200 basis points from prior year. We saw continued margin expansion in alcohol, grocery and packaged beverage as the merchandising team has done an excellent job of lining up our offering with our guests’ wants and needs. In addition to the favorable mix shift, the margin was aided by approximately 75 basis points from a combination of a smaller year-over-year LIFO charge as well as the achievement of higher than expected calendar year vendor rebates. Prepared food and dispensed beverage margin was 57.3%, down 70 basis points from the prior year but sequentially improving versus the first and second quarters. Consistent with the entire fiscal year, the category margin was negatively impacted by commodity costs, specifically cheese, which was $2.30 per pound for the quarter compared to $1.99 per pound last year, an increase of nearly 16%. This negatively impacted the prepared food and dispensed beverage margin by approximately 100 basis points. Excluding the impact of cheese inflation, we would have outperformed margin from the prior year as our actions to balance protecting our margins while delivering a strong value proposition for our guests continued to make a difference for both.  Fuel margin for the quarter was $0.407 per gallon - that’s up $0.024 per gallon from the prior year, and fuel gross profit benefited by $2.9 million from the sale of RINs. Total operating expenses were up 5% or $25 million in the third quarter. There was the one-time operating expense reduction of approximately $15 million that Darren mentioned and that was disclosed in our recent business update. Excluding this reduction, total operating expense would have increased by approximately 8%. Over 2% of the total operating expense increase is due to unit growth as we operated 41 more stores than the prior year. Same store operating expenses excluding credit card fees rose 4.6%. Same store employee expenses were up by only 1%, benefiting from a 1% reduction in same store labor hours. Our store operations team continues to do outstanding work operating our stores more efficiently without compromising the experience of our guests. Approximately 2% of the same store increase is related to non-employee operating expenses, with repair and maintenance and utilities being the largest contributors. Insurance expense accounted for another 1% of the same store increase, driven primarily by higher general liability and health insurance costs. Depreciation in the quarter was up only modestly.  Net interest expense was $11.7 million in the quarter, down $2.7 million versus the prior year, and that’s aided by rising interest rates on our cash balances. As a reminder, only 17% of our debt is floating rate.  The effective tax rate for the quarter was 24.1% compared to 23.4% in the prior year. The increase was driven by a one-time benefit in the prior year to update the state deferred tax rate following the acquisition of the Pilot stores.  Net income was up versus the prior year to $100.1 million, an increase of 56%. EBITDA for the quarter was $221.7 million compared to $173.5 million a year ago, an increase of 28%. Each of these measures benefited from the one-time $15.3 million operating expense reduction. Our balance sheet remains in excellent condition. On January 31, cash and cash equivalents were $413 million and we have remaining capacity of $463 million on our lines of credit, giving us ample available liquidity of $876 million. Furthermore, we have no significant maturities coming due until fiscal 2026. Our leverage ratio calculated in accordance with our senior notes is now 1.8 times, which is generally in line with our preferred longer term target of 2.0 times. Our balance sheet has plenty of capacity to make sound strategic and EBITDA and ROIC accretive investments that present themselves, and we will remain opportunistic in doing so. For the quarter, net cash generated by operating activities of $150 million less purchases of property and equipment of $123 million resulted in the company generating $27 million in free cash flow. This compares to a use of $24 million in the prior year, and as a reminder, the third quarter is a seasonally low quarter for the company in terms of free cash flow generation. At the most recent board meeting, the board of directors voted to maintain the dividend at $0.38 per share. We will continue to remain balanced in our capital allocation going forward. We’re going to remain opportunistic related to our $400 million share repurchase authorization, though again we did not purchase any shares this quarter. The company is modifying its fiscal 2023 outlook based on our performance through the first three quarter and our experience so far in the fourth quarter. The company now expects same store inside sales to increase approximately 6% to 7% versus our prior guidance of increasing 5% to 7%. The company also now expects same store fuel gallons to be down 1% to up 1% versus our prior guidance of flat to up 2%.  We are not updating our outlook on the following annual metrics: inside margin is still expected to be approximately 40%. The total operating expense increase excluding the one-time benefit received this quarter is expected to be near the low end of up approximately 9% to 10%. Based on our construction schedule and our signed purchase agreements, the company continues to expect to add approximately 80 stores in fiscal 2023 and expects to exceed our stated three-year commitment of 345 units added. Interest expense is expected to be approximately $55 million. Depreciation and amortization is expected to be approximately $320 million, and the purchase of property, plant and equipment is expected to be approximately $450 million to $500 million, and that will include approximately $135 million in one-time store remodeling costs for the recently acquired stores. The tax rate is expected to be approximately 24% to 25% for the year. I would note that capital spending on store openings and remodels are clearly back end weighted versus our initial expectations due to ongoing construction delays, supply chain challenges, and especially local licensing inspection timelines. As for our February results and our expectations for the current quarter, inside same store sales and fuel same store gallons are both consistent with levels that will deliver our annual expectations for these metrics. Fuel CPGs in February were in the mid 30s. Fourth quarter total operating expenses are still expected to be near the low end of our annual guidance. With that, I’ll turn the call back over to Darren.
Darren Rebelez: All right, thanks Steve. I would like again to say thank you and congratulations to the entire Casey’s team for delivering another great quarter. During the first three quarters of the year, our merchandising team has driven business inside the store by optimizing assortment at value prices, especially our private label program. The store operations team is doing an excellent job efficiently managing operating expenses while executing on initiatives such as store simplification as we reduced same store labor hours by 1%. We have had sequential growth in prepared food and dispensed beverage margin in every quarter in fiscal 2023 as we continue to manage both commodity and other costs prudently while holding our relative value proposition for guests. We continue to lean into our prepared food and have a number of different innovative food products that are now at Casey’s. In the third quarter, we launched a refreshed chicken wing offering as well as introduced bacon mac ‘n cheese, and we are launching a pepperoni-pepperoni-pepperoni pizza just in time of the NCAA tournaments while securing NIAL deals with three college basketball standouts in our footprint. All of these new offerings coupled with our existing guest favorites strengthen our best-in-class prepared food offerings. Add our robust assortment of grocery and general merchandise products and Casey’s is a one-stop shop for any occasion.  Our business development team has stayed busy evaluating potential deals, both large and small, and will remain diligent with respect to valuations. Our two-pronged approach to growth allows us to remain flexible. Our balance sheet is strong, which puts us in a position of strength when the right opportunity presents itself. This is especially true as the cost to operate, maintain and grow is challenging for the industry in the current macroeconomic landscape. Casey’s has historically been resilient in recessionary times because the business model allows for our guests to find quality and value conveniently. Our integration team has done an excellent job executing on the Buchanan Energy acquisition and we now have kitchens at substantially all Bucky’s locations where we planned on adding kitchens. One of the pillars of our strategic plan was to reinvent the guest experience. As part of those initiatives, we have been surveying our guests to try to evaluate satisfaction, with guest satisfaction scores increasing throughout the fiscal year. The third quarter results show that we can operate stores more efficiently without sacrificing a quality guest experience; in fact, we have reached the highest scores in guest satisfaction since the onset of the COVID-19 pandemic.  As the industry continues to trend towards a more frictionless environment, we started piloting self checkout in select stores. The ability to add even more convenient checkout options for our guests while allowing guests to continue to earn Casey’s rewards is another promising addition to our ability to better serve our guests and communities. Our digital team’s hard work continues to pay off as we surpassed 6.1 million rewards members as of January 31. Digital revenue is growing rapidly, up 12% versus the prior year and 25% on a two-year stacked basis. Our guests are taking advantage of our ability to deliver grocery and general merchandise products as delivery is over-indexed versus other digital grocery and general merchandise transaction types such as pick-up. We continued growth on the mobile side as mobile app orders now represent 69% of all digital orders. As we look ahead to the final quarter of fiscal 2023 and beyond, I’m excited for the outlook of the business with capabilities and talent to execute Casey’s business model in the face of uncertain times and challenging economic environments. We have ample flexibility due to the strength of our balance sheet that allows us to act on attractive growth opportunities when they arise. As we close fiscal 2023 and look forward to the next three years’ strategic plan, we’re excited about the hand we’re holding.  We will now take your questions.
Operator: [Operator instructions] Our first question comes from [unknown analyst] from Goldman Sachs. Your line is now open.
Bonnie Herzog: Hi, it’s actually Bonnie Herzog from Goldman. I had a question about your fuel margins. I was hoping you could talk about how the margins have trended monthly over the quarter, and then any color on February and very early March trends would be helpful. There’s just such a big debate about margins and the sustainability of your fuel margins, and the industry’s for that matter, so just curious to maybe understand where you guys are seeing breakeven margins for the marginal player. Are they possibly moving lower?  Thank you.
Darren Rebelez: Hey Bonnie, this is Darren. Yes, I’ll take that one. As we look through the quarter, this past quarter, we actually saw a lot of volatility on the cost side which translated into some volatility on the margin side. I guess the cadence through the quarter, we saw costs drop about $0.60 a gallon in November, which resulted in really strong margins, but December rebounded and went up about $0.22 and so margins started to moderate a little bit, and then January went up another $0.10 and so margins got a little bit squeezed in the month of January to around $0.30 a gallon, so overall we landed at $0.40 but it was a little bit of a rocky ride to get there. What we’re seeing now, well, through February, was about mid $0.30 per gallon, so that’s about where the run rate had been prior to a lot of the volatility with the war in Ukraine and that sort of thing. We kind of think that’s a little bit more of a representative baseline of where margins go, and then again as we’ve looked at the marginal operator that has higher breakevens, we expect that margins will continue to gradually expand over time as the cost pressures continue to fall on that operator, but that’s about the cadence that we’ve seen so far.
Bonnie Herzog: Okay, that’s super helpful. Maybe a quick follow-up, if I may. I was curious about your store builds, and you touched on this, that it’s going to ramp pretty aggressively in Q4 just to hit your full year guidance. But I did have maybe more of a strategic question on how you’re thinking about store builds, and wondering why you couldn’t ramp your new store builds much more aggressively or maybe even M&A, for that matter, to take advantage of really the white space opportunity you’ve highlighted. Thanks.
Darren Rebelez: Yes, sure. We certainly have the balance sheet ability to ramp up in either direction, and really we like to have the optionality to adapt to what the playing field is giving us. What I’d tell you right now is that in this current environment, we’re seeing a lot of potential acquisition activity. Our business development team is really busy talking to a lot of folks, and as we mentioned with our current year, we have a number of smaller deals under agreement right now that will close before the end of the fiscal year, so we’re very confident we’ll get to the number for this year. But really, we’ll go either way and, frankly right now, the environment is probably leaning a little bit more favorably towards M&A at the moment, and so we’re looking at a number of deals. But we’re also going to remain disciplined with respect to the valuations and what we pay for those deals, so we need to let that process play out. But what I’d also tell you, Bonnie, is that we have not in any way told our real estate team to slow down on finding new sites, and so we’ll keep that optionality. If the M&A deals don’t come to fruition, we’ll just lean heavier on our organic growth to accelerate that store development.
Operator: Please stand by for our next question. Our next question comes from Karen Short with Credit Suisse. Your line is now open.
Karen Short: Hey, thanks very much, and good to talk to you. I wanted to just ask a question--two questions. One, with respect to your implied guidance, and I realize there was a wide range of guidance, but your 4Q implied expense, operating expenses excluding D&A and excluding credit card fees, kind of seems to be up around 9.4% versus gross profit dollars in store, and again that’s excluding gas up 13%. I want to just talk about that relationship, but also want to talk separately about what your comments were on opex in general with respect to in-store hours. A lot of retailers so far have been talking about wage pressures. If I have to average it out, there’s like an 8%-plus increase in wages across the board for many retailers that have reported, so I just want to parse that out a little bit and wondering if you can talk about if you’re maybe cutting a little bit too deep into the meat, I guess, with respect to store labor.
Steve Bramlage: Yes, hey Karen, good morning. This is Steve. It’s nice to hear from you again. I’ll take the first one and then I’ll let Darren address the second one. Related to the fourth quarter guide specifically on opex, maybe just a reminder for our fourth quarter, we will do a variety of year-end adjustments on opex on things like incentive compensation, true-ups, etc., and so given the company’s continued strong performance this year, I think we certainly are going to have incentive compensation above what we would have planned when we started the year, and that’s going to happen kind of irrespective of whatever the trajectory may be within the business.  I think if you’re comparing it to just kind of the cadence of gross profit, the gross profit cadence certainly is heavily influenced by what is the fuel CPG at any point in time, and so as we sit here right now in the mid-30s, that’s obviously going to give you a different fourth quarter gross profit year-over-year--
Karen Short: Well, sorry - I was asking excluding fuel, in-store only. 
Steve Bramlage: Yes, okay, then I would still tell you that we’re--with the year-end true-ups we have and then we’re also going to start lapping on the inside of the store a lot of the price increases that we’ve taken over the course of the last year, especially in the prepared food category, we’ve taken three different price increases over the last 12 months and most of those will lap for us during the fourth quarter.
Karen Short: Okay, and then the store hours and labor question?
Darren Rebelez: Yes Karen, this is Darren. Nice to talk to you again - welcome back!
Karen Short: Thanks.
Darren Rebelez: With respect to the hours, I’ll just--I’ll tell you a little bit about how we’re getting to the hour decreases. This started really at the end of last year, when we were looking at our opex performance and really getting into the root causes of that, and a lot of that really from a root cause perspective was driven by turnover in our stores. We started digging into the turnover and started getting into our engagement stores, and our engagement was a little bit off, and so we’ve really made a concerted effort around team member engagement and a lot of that had to do with simply removing complexity from the store, meaning we’ve added a lot of new capabilities into our stores from a merchandising and prepared food perspective over the last couple of years, but we really didn’t take anything away, and our team members were telling us the job was just getting too hard.  We’ve stood up a continuous improvement team and their sole focus is identifying processes where we have bottlenecks or opportunities where we can remove complexity and remove hours out of the store without impacting the guest experience. We’ve implemented a number of those initiatives over the course of the year and what we’ve ended up with is removing hours from the store, reducing that turnover which in turn has reduced overtime and training hours - in fact, in the third quarter, we were down about 31% in overtime and about 20% in training hours just because we have reduced turnover. All of that is working in concert and then, lo and behold, our guest satisfaction scores are the highest they’ve been since the beginning of the pandemic. Everything is working as it should, so we don’t think we’re cutting deeply - in fact, we think we’re cutting smart and we’re eliminating the non-value added hours, and it’s showing up in guest satisfaction as well, so we feel really good about that and really good about the sustainability of it, because we’re doing it the right way.
Operator: Please stand by for our next question. Our next question comes from Anthony Bonadio with Wells Fargo. Your line is now open.
Anthony Bonadio: Hey, good morning guys. Congrats on the nice quarter. Just wanted to ask about grocery margins - obviously a very strong result there. You talked about [indiscernible] and then your efforts in private label as supportive, but can you dig in a little more on what drove that composition of non-controllables and controllables? Then, we’re now running well ahead of pre-COVID levels, obviously you’ve done a lot strategically over the last few years, but can you talk about how sustainable you think these levels are?
Darren Rebelez: Yes Anthony, this is Darren. I’ll take the first crack at that. With respect to the margin on grocery and general merch, there is a fair amount of that that had to do with mix shift, so I’ll walk you through that a little bit. We had a couple of different categories that had some favorable mix shift and then some margin expansion within those categories.  The first thing I’d point out is that in the tobacco category, and we put cigarettes and all the smokeless and vaping and everything else into that category, we saw a little bit of a fall-off in mix from that category, about 170 basis points lower mix than it had been the prior year, and that’s obviously a lower margin category, so that accrues to the benefit of the overall category when that mix goes lower. So where did that mix go? It went to alcohol, alcohol increased, and in particular went to non-alcoholic beverages which carries the highest margin rate. In fact, in non-alcoholic beverages, the margin rate in that category is about double what it is in tobacco, so that mix shift shifted up 90 basis points, so when you take all of those moving parts back and forth, the mix was favorably impacted. The second piece was in non-alcoholic beverages, the actual margin rate was up about 110 basis points within the category, and that’s just really a function of a lot of good work that the merchandising team has done in concert with our vendor partners to come up with joint business plans that have allowed us to accelerate growth and at the same time expand margin. I’d say the same thing on the grocery part of that, where there’s about 130 basis point improvement in margin year-over-year, really due to the same thing. All of that was what led the grocery and general merchandise. I’d say because those trends and plans are sustainable, I would expect that the margin improvement is sustainable as well.
Anthony Bonadio: Got it, that’s helpful. Thank you. Then quickly on RINs, I know you guys talked about a $7 million headwind year-over-year in the quarter. Can you just talk about how that flows through to earnings? It’s obviously easy to do the math on if it flows through outright, but I believe some of that ends up getting priced into what you buy from the refiners, so maybe it comes through as higher retail margins. Any thoughts on that dynamic would be helpful.
Steve Bramlage: Yes, hey Anthony, this is Steve. I’ll take a shot at that. We are--we did sell or monetize fewer RINs in the third quarter this year than the third quarter last year, so that was less of a positive impact on CPG for us on a year-over-year basis. We do not recognize any value associated with RINs until we actually physically transfer them out of the company, and that’s really a timing issue. The generation of the RIN in the first place is more a by-product of how we buy fuel at any particular point in time, and we do not--we don’t have a point of view on how we should generate RINs, we’re agnostic on RIN generation. We task our fuel team with go acquire the lowest cost fuel you can, and we generate RINs when we splash blend at a terminal and we’re mixing ethanol with clear fuel. Sometimes we buy it pre-blended and so our view is that the net cost of the RIN is already going to be baked into the cost of the fuel. Now, when we do have the RINs, we do have a point of view on what’s the value of a RIN in the market, and we do exercise some discretion on how we choose or when we choose to transfer those, and so the year-over-year delta is a function of agnostic generation and timing on when we chose to transfer them this year versus last year.
Operator: Please stand by for our next question. Our next question comes from Bobby Griffin with Raymond James. Your line is now open.
Bobby Griffin: Good morning everybody. Thanks for taking the questions and congrats on a very good quarter. I guess first, Darren, the fuel team has done a lot of nice work over the last couple years, you know, inside contract buying as well as pricing. Is there any other initiatives that the team’s working on that could benefit the underlying margins excluding the volatility of the industry over the next couple years?
Darren Rebelez: Yes Bobby, as you know, we’ve been on a journey for the last few years in standing up different capabilities, and really the last step of that process that we’re going to begin working on this next fiscal year is procuring fuel further upstream in the process, so buying at the refinery gate and shipping up pipelines into terminals. That’s a capability that we needed to grow into, and we stood up these systems, the technology solutions last year to enable that, and now that those are stabilized, our team is looking forward to doing that. We do believe that that’s an incremental opportunity to add some more margin and security of supply, so that will be work that’s ongoing throughout the next fiscal year.
Bobby Griffin: Okay, thank you. Then I guess secondly for me, just on the grocery and prepared food, can you give us any color, I guess, on how units have trended? I understand there’s some pricing flowing through on both sides of that business. Just any detail on the unit share and what’s been going on there?
Darren Rebelez: Yes Bobby, we’ve had a little bit of softness. If I was going to make a broad statement, I’d say we have had a little bit of softness on units, not significant and not concerning, but a little bit of softness. Now that being said, within sub-categories, it bounces around a bit, so we’ve really had some strength in our alcoholic and non-alcoholic beverages, energy drinks in particular, a lot of good movement in candy and snacks, pizza slices, donuts have all had positive units, and then it’s been offset by some other categories that have seen a little bit of softness. But you know, that tends to be par for the course in any sort of times where different categories are performing differently, so again a little bit of softness but nothing that’s overly concerning at this point.
Operator: Please stand by for our next question. Our next question comes from Irene Nattel with RBC. Your line is now open.
Irene Nattel: Thanks and good morning everyone. Just sticking with the whole question around mix in grocery, you said you saw tobacco fall off. Was that a temporary element that just impacted Q3, or is that something that you’re seeing continuing and is that something we should be anticipating as we look ahead to F24?
Darren Rebelez: Yes Irene, the tobacco mix shift was something that’s really been ongoing for a while. It wasn’t anything really dramatic in the quarter. I think it’s important to recognize that the tobacco manufacturers, this is part of their strategy actually, is to reduce the velocity of combustible cigarettes and shift people over to other smokeless options, like vaping or smokeless tobacco. This is sort of a natural occurrence, but at the same time, our merchandising team has really done a nice job of accelerating the growth in the non-tobacco categories, specifically in alcohol and in non-alcoholic beverages, so as we accelerate the growth in those, that m ix starts to shift a bit on its own, and that’s been happening over the last couple of years. I don’t anticipate that really changing, that dynamic changing because we’ll continue to lean into those other non-tobacco categories, and then the tobacco category itself is in somewhat of a secular decline, so we’d expect that mix shift to happen.
Irene Nattel: That’s great, so all of that should continue to support stronger margin. If I can just switch topics for a second to M&A, and notably valuations, what are you seeing at this point in time in terms of seller expectations, both at the smaller operator level and for some of the larger networks?
Darren Rebelez: Yes, we’re taking a look at a lot of different deals and I’d say there’s a variety of expectations. I think in some cases, there are some sellers that are sitting on historically high fuel margins that would love to be able to sell at that rate. We don’t necessarily believe that those margins at the most recent year are reflective of the long term trend is going to be, and so we’re having those ongoing discussions.  But I think if I step back a minute and look at the environment overall, it’s an interesting dynamic because we have sellers that obviously are trying to maximize value, but we also have really high interest rates, so there’s fewer participants in the process I think than maybe otherwise would have been because of that. We’re in the midst of a lot of different discussions, so I have yet to see how this is all going to play out, but that’s what we’re seeing at this point.
Operator: Please stand by for our next question. Our next question comes from Chuck Cerankosky with Northcoast Research. Your line is now open.
Chuck Cerankosky: Good morning everyone. Great quarter.  When you’re looking at the grocery category and the merchandise inflation trends over the rest of the year, I know you’ve negotiated with the vendors. How do you feel about further inflation taking place over the course of the year, and how does that work into your shelf pricing and assortment mix?
Darren Rebelez: Yes Chuck, this is Darren. You’re correct - we typically negotiate those agreements in advance of the beginning of the calendar year, so most of that is fairly locked. What we saw this year is a little bit of moderation in the cost increases versus where we were the prior year, and where there were cost increases, it was a little more targeted to certain sub-categories from the supplier as opposed to across-the-board increases.  While we’re still experiencing inflation, and in that category about 8% inflation, it has moderated a bit from what we were experiencing the year before. We make those price adjustments as needed, and again we’re trying to maintain the balance between having relative value for our guests and at the same time protecting the margin, and so I think the team has done a nice job balancing that. You saw the results in the most recent quarter, where we’ve been able to have strong sales results but at the same time blend up the margin from a mix perspective to get the margin at a really strong rate. We think we’re striking that right balance right now and we’ll continue to do that.
Chuck Cerankosky: Darren, so 8% is the average cost increase for calendar ’23?
Darren Rebelez: No, that would be for fiscal year.
Chuck Cerankosky: Fiscal year? Okay.
Darren Rebelez: Yes.
Chuck Cerankosky: All right, thank you. Oh, let me ask, how did that compare to fiscal ’22?
Darren Rebelez: I don’t know, Steve, do you--?
Steve Bramlage: It’s a little bit--we had higher inflation in fiscal ’23 than we did in fiscal ’22, just if you think of the lags and the timing that we negotiate on a calendar basis. We certainly have incurred more consistent and higher levels of inflation this fiscal year than we did in the prior fiscal year.
Operator: Please stand by for our next question. Our next question comes from Ben Bienvenu with Stephens. Your line is now open.
Jack Hardin: Hello, this is Jack Hardin subbing in for Ben Bienvenu. Congratulations on the strong quarter.  I just wanted to ask about pizza for starters. What are you seeing in your pizza business in terms of demand, and how insulated or exposed do you think your business is from increased promotional activity in the category?
Darren Rebelez: Yes Jack, this is Darren. Our pizza business has performed pretty well. We had strong volume in the third quarter in slices, both in sales and in units. On the whole pies, we’re still keeping the positive sales, the units have softened a bit but, again, not at a concerning level, just a little bit of softness. I actually would characterize that a little bit more as a timing issue in terms of innovation that’s launched, and so we’re starting to see that velocity recover here more recently with the launch of our pepperoni-pepperoni-pepperoni pizza.  That being said, from a promotional standpoint, we are seeing increased activity from our major pizza competitors mostly around the medium sized pizza, which they can get at a lower price point, so we’re keeping an eye on that. We haven’t seen a material impact to our business at this point, so we’re not necessarily ready to jump into that fray, but we continue to monitor and we’ll react accordingly if we need to. 
Jack Hardin: Okay, great. Thank you, very helpful. Then on the fuel side of things, your fuel gallons have softened a bit and was just wondering if you could talk about the key factors driving that change.
Darren Rebelez: Well, fuel has been a dance for a while now with volume, and so I think we’ve been able to maintain our strategy, which is to maximize gross profit dollars, and that’s a balance of driving gallons and driving margin. What we’ve seen in most quarters is that we’ve been hovering right around that flat level, sometimes a little bit below, sometimes a little bit above flat fuel gallons.  What we’re seeing in the industry in our specific geography is gallons are down anywhere from 4% to 6%, and so when we take a look at our business and we’re down half a percent in a down-6% environment, we feel pretty good about the position we’re holding relative to everybody else and that we’re actually taking share as a result of that.
Operator: Please stand by for our next question. Our next question comes from Krisztina Katai with Deutsche Bank. Your line is now open.
Krisztina Katai: Hi, good morning, and congratulations on very nice results. I wanted to circle back to the strength that we saw at the grocery segment - you know, coming in at 34% looks the strongest, at least since 2010. As private label penetration increases there, are you seeing that vendors are more open to taking less pricing, maybe, as their units could be coming under pressure, and does that essentially help with your joint vendor planning process as it relates to getting great margin in that segment going forward?
Darren Rebelez: Yes Krisztina, it does change the conversation a bit with some of our supplier partners when we have the private label products, and in some cases it’s a matter of sharpening the pencil on cost of goods and in other cases, we’ve been able to prove some different pricing strategies that we’ve implemented on the private label side that causes them to re-think some of their pricing strategies with us on their brands and their products. We’ve been able to have those discussions and, in some cases, create different plans from a joint business planning perspective to take advantage of those learnings and to maximize the overall category, because ultimately that’s the goal, is to grow all boats, not one at the expense of the other. I think our merchandising team and our supplier partners have worked together really well to make that happen.
Krisztina Katai: Great, thank you for that. I have a follow-up question around capital allocation. You do have a lot of cash on the balance sheet and it’s well above what we’ve seen from you guys, at least from a historical perspective, so how do you think about the strong cash flow generation of your business in the context of organic unit growth, pursuing M&A opportunities, and potentially buying back shares opportunistically?
Steve Bramlage: Yes, good morning Krisztina, this is Steve. I’ll address that. We do have a lot of cash on the balance sheet relative to what we’ve had historically - we are certainly aware of that, for sure. We think about it a lot in terms of the best way to allocate that capital. I think in the very near term, the reality is because our capital spending this year and the closing of the small deal M&A that we’ve talked about, both of those items are heavily back end-loaded, right? We’re going to have a very busy April realistically in terms of opening and buying stores. It seemed the most prudent for us to hold that cash over the course of the year because we knew we were going to have uses for it. But as the cash flow generation potential of the company continues to grow in an environment where we don’t have any leverage concerns of significance, and we really don’t need to pay off debt, we will go back to where we start, which is the best use of capital dollars, number one for us, we believe is investing in something that’s EBITDA and ROIC accretive in terms of growth, and so we’ll continue to lean into those new units. We are very respectful and thoughtful around making sure our dividend growth continues apace with what it has been historically and the earnings profile of the company, but there is a point in time where there is excess cash beyond the near term growth needs of the company and the leverage and the dividend uses, and clearly share repurchase comes into the fore at that point in time. We haven’t been there in the last couple of quarters, obviously. We have an authorization that we’re very aware of, and so I think we will continue to remain quite aware of that but, in the short term, we know we’re going to be spending some of that cash to finish the things we’ve already committed to doing.
Operator: Please stand by for our next question. Our last question comes from John Lawrence with Benchmark. Your line is now open.
John Lawrence: Thank you for squeezing me in. Darren, would you talk a little bit about private label, your best customers, the loyalty members, what are you seeing in that basket now as that journey in private label continues? Is it the drinks, is it are you seeing private label more often in that basket, and is there any type of a shift as we have gone through the year?
Darren Rebelez: Yes John, in terms of the basket itself, I think private label runs the same sort of cycle from a seasonality standpoint that the rest of the store does, and so in the third quarter, what you see is less beverages because the weather is cold outside, and it shifts more to snacks and candy and that sort of thing, then as we get more into the summer, you’ll start to see the acceleration of the beverages and the beverage category. That being said, some of the mix in the basket has accelerated in the candy category due to some recent introductions of candy products, and I’ll tell you that this is a great example of why private label is so important. We saw in the candy category that a lot of the national brands were really passing on some aggressive cost increases to all retailers, and it was starting to put some pressure on unit velocity. It was something like we had not seen before, so that really gave us confidence to go into the candy bar category which historically has been a really difficult category to penetrate because of the brand strength of the national manufacturers.  We have introduced a line of candy bars that have actually become some of the top selling items in the category because of the value price and because of the quality of the product, and so we continue to look at that and continue to look at expanding that. But that’s something that’s--the mix has kind of shifted in a way we originally hadn’t anticipated because of the aggressive cost increases from the national manufacturers, so that gives our guests a great quality product at a value price and allows us to continue to grow the category.
John Lawrence: Great, thanks. Congrats and good luck.
Darren Rebelez: Thanks John.
Operator: Please stand by for our next call.  Our next question comes from John Royall with JP Morgan. Your line is now open.
John Royall: Hey guys, good morning. Thanks for taking my question. I realize we’re at the end, so I’ll just try to squeeze on in.  Just a follow-up on the M&A side, I know you’ve gotten a lot of questions on it today, but you talked about the environment being constructive today, and it seems like you have plenty of liquidity to execute on a larger scale deal. Is there any thoughts that there might be another Buchanan out there, or do you consider having done a deal of that scale kind of more of a one-off that wouldn’t be repeated?
Darren Rebelez: No John, we certainly look at larger deals of that scale, or even bigger. Our issue isn’t around the size of the deal. I’d say our balance sheet speaks for itself. We have plenty of balance sheet strength and, frankly, from a capability standpoint now that we’ve integrated three larger acquisitions, we have a team that has a rhythm and has a process and understands how to do this. We have more confidence in our ability to integrate successfully a larger acquisition. This really--from our perspective, it’s really more about finding the right deal that’s strategic for us, that’s in the right geography, that’s at the right valuation, and so we continue to work on those opportunities, but we’re looking at all types of deals, large and small.
John Royall: Thank you.
Operator: I show no further questions at this time. I would now like to turn the conference back to Darren for closing remarks.
Darren Rebelez : All right, thanks for taking the time today and joining us on the call. As we finish our final fiscal quarter and three-year strategic plan, I just want to thank our team members again for all their hard work and commitment to Casey’s and the communities we serve every day. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.